Operator: Good afternoon, ladies and gentlemen, and welcome to the Aspira Women's Health First Quarter 2021 conference call. My name is Rob, and I'll be your coordinator for the call today. At this time, all participants are in a listen-only mode. Following management's prepared remarks, we will open the call for your questions. As a reminder, this conference is being recorded. Leading the call today are Valerie Palmieri, President and Chief Executive Officer; Bob Beechey, Chief Financial Officer and Kaile Zagger, Chief Operating Officer. Dr. Lesley Northrop, Chief Scientific Officer and Dr. Elena Ratner, Global Chief Medical Adviser, Clinical and Translational Medicine. After the prepared remarks, we will open the call for Q&A. Before we begin, I would like to remind everyone that statements made during this call, including the Q&A session relating to Aspira's expected future performance, future business prospects or future events or plans are forward-looking statements as defined under the Private Securities Litigation Reform Act of 1995. Although the Company believes that the expectations reflected in such forward-looking statements are based upon reasonable assumptions, actual outcomes and results are subject to risks and uncertainties and could differ materially from those anticipated due to the impact of many factors beyond the control of Aspira. The Company assumes no obligation to update or supplement any forward-looking statements, whether as a result of new information, future events or otherwise, except as required by law. Participants are directed to the cautionary notes set forth in today's press release as well as the risk factors set forth in Aspira's annual report with the SEC for a description of factors that could cause actual results to differ materially from those anticipated in the forward-looking statements. At this time, I would like to turn the call over to Valerie Palmieri, President and Chief Executive Officer. Valerie?
Valerie Palmieri: Good afternoon, everyone, and thank you for joining us today. This afternoon, we will review our first quarter accomplishments, financial performance as well as provide an update on Q2 developments, including our first Aspira Synergy executed agreement with a very large women's health network, an ENDOCHECK update, a strategic study agreement with the largest health care provider in New York, our confirmed acceleration of our oversight product launch for Q4 2021, and lastly, a new addition to our executive team. Our end in mind is to transform women's health, starting with ovarian cancer. Our initial goal is to eradicate late-stage detection of ovarian cancer and ensure that all of our solutions will meet the needs of all women of all ages, race, ethnicities and stage of disease. Our core patient goal is to develop a lifelong relationship with each patient from puberty to cure, ensuring each woman has access to the best-in-class diagnostics. We at Aspira aspire women to take control of their gynecologic health and empower providers to deliver optimal care. I would now like to update you on six recent developments in the second quarter. First, Aspira Women's Health is announcing today that is executing an Aspira Synergy agreement with one of the largest women's health networks, whereby the OVA1Plus testing will be performed in their laboratory with data interpretation by Aspira. The health network employs 300-plus physicians and is responsible for 500,000 patient visits per year. We are extremely pleased with this development and milestone. This is a fundamental building block to changing the standard of care. Number 2, I will provide an update on ENDOCHECK. We are in very productive communications with the FDA regarding our breakthrough request. The FDA has acknowledged that there are many compelling reasons why this type of device is needed for both the treating physicians and for patients. The FDA indicated that they are very interested in continuing to work with Aspira on ENDOCHECK, and Aspira will be continuing our discussions with the agency on the breakthrough device designation. Number 3, we are very pleased to announce we initiated a prospective clinical study for benign risk monitoring and high-risk early ovarian cancer detection with Northwell Health. This is a study with the science arm of Northwell Health, which is the Feinstein Institute for Medical Research. Northwell is the largest private healthcare provider in New York state. Today, Northwell treats over two million patients annually and employs over 16,000 credential physicians. Number 4, we are reaffirming the acceleration of a target launch date of oversight to the fourth quarter of 2021. This test will initially allow physicians to assess benign pelvic masses with much better performing technology versus CA125. And our next revision, we will allow a mass to be monitored over time. This new test will leverage its high negative predictive value to assist and rule out as well as high positive predictive value to assist in risk of malignancy. The first review of this product's data will occur at the American Society of Clinical Oncology, better known as ASCO, at their 2021 meeting, which will be held virtually on June 4. Number 5, we are building a strong patient provider and payer awareness foundation. Awareness, education and advocacy is a key to changing the standard of care. We are establishing a foundation with clinical social media influencers, participating in congressional briefings and establishing a social media strategy with patients and clinicians. Kaile and Dr. Ratner will discuss further in their sections. And lastly, we are extremely pleased to announce we have added a diagnostics industry leader to the team to round out the breadth of experience needed to achieve our short- and long-term objectives. Greg Richard joined the Company as Head of Corporate Strategy, Reimbursement and Managed Care. In this role, Greg will be responsible for our overall corporate strategy, enhancing our blueprint for reimbursement for the Company's current products as well as the new products and services in our robust pipeline. He will lead our overall managed care and managed market strategy as we expand into integrated health care systems and leverage the Company's recent successes and gaining coverage for OVA1 with New York state Medicaid and other important payers. In addition, he will also be responsible for managing the internal revenue cycle management team and will support the Company's strategic business development initiatives. Greg has served in several senior executive leadership positions at Interpace Diagnostics, Quest Diagnostics and Lab Corp. Before I turn the call over to Kaile to provide a commercial update, as previewed on our fourth quarter call, our test volumes were sequentially flat in the first quarter versus fourth quarter 2020. This was due to the continued COVID restrictions and weather disruptions. I am pleased to report we are gaining traction in March, April and May, and we see increased patient access, patients returning to the doctors, coupled with our increased commercial investment. This is promising as 24% of our territories still have less than 50% access to offices due to COVID. And with COVID reducing in the U.S., we are hopeful that things will continue to improve. If COVID continues to stay in check, we are confident our commercial momentum will continue as we continue to invest in our commercial organization, drive adoption and prepare for a larger sales footprint for oversight commercialization in Q4 2021. In summary, we continue to work towards our overall strategic goal, which was to emerge from the pandemic stronger, and we believe we have accomplished this with our stronger team, our stronger financial position and our stronger pipeline. We are well positioned to invest, to grow and to drive adoption and most importantly, save lives. I would now like to turn the call over to Kyle Zagger, our Chief Operating Officer. Kaile?
Kaile Zagger: Thank you, Valerie. We have studied the complexities of how ovarian cancer presents through the patient journey and have mirrored our go-to-market strategy to capture that journey and intersect the patient prior to late-stage diagnosis. One year ago, we had two-pronged approach with the direct sales channel and a decentralized platform channel. We are proud to announce that we added to the direct sales channel, a new healthcare system sales team. They include a dedicated dual sales and integration team as the health system team that will integrate our technology into the clinical pathways across various ologies that intersect ovarian cancer patients and integrate into the complex workflow environments of these systems. With over 80% of physicians anticipated to be owned or affiliated by health systems by 2023 and our large target launch of oversight, which we expect will be actively deployed in the health system. We are confident that these strategies are critical and timely for our organization. We are actively constructing our team of health care industry experts who have a strong history of disrupting current standards of care, and we are on track to nearly double the size of the commercial and operations organizations by the end of Q4 2021. Our integration team comprised of highly experienced healthcare executive with informatics expertise. This team is working to drive integration within the health system and create seamless workflows for adoption of our products. We are working with a number of institutions and believe this approach will enable the Aspira suite of products to gain adoption and become the standard of care. Regarding our decentralized platform channel called our Synergy sales force, we are happy to announce Aspira Women's Health is announcing today that is an executed and Aspira Synergy agreement with one of the largest women's health network, whereby the OVA1Plus testing will be performed in their laboratory with data interpretation by Aspira. The health network employs 300-plus physicians and is responsible for 500,000 patient visits per year. We are extremely pleased with this development and milestone. This is a fundamental building block to change the standard of care. We expect Synergy to also expand access for all Aspira commercialized products, and we will expect that the future pipeline innovations will be blended into the Synergy platform. We are now poised for growth to allow standard of care adoption of both OVA1Plus and GenetiX as a solution offering. Finally, the glue to our strategy is commercial activation of the market and awareness of the greater population. We believe in increasing awareness as a critical factor to driving adoption. We have expanded our digital marketing presence and have acutely invested in commercial activation over the last two quarters. In addition, we were present at ACOG and SGO held virtually in 2021, and we'll be presenting our oversight abstract at ASCO in June. The number of OVA1Plus tests performed increased 3% to 3775 OVA1Plus tests during the three months ended March 31, 2021, compared to 3654 OVA1Plus tests for the same period in 2020, which was slightly down on a sequential basis. COVID-19 restrictions have continued in the second quarter, we are gaining traction quarter to date. April volumes were a record month for the Company. Also, we just received New York State Medicaid coverage as of April 1, 2021, so we are just starting to gain traction in this market. In terms of ordering physicians for the first quarter, 2595 physicians ordered OVA1Plus. The number of ordering physicians was essentially flat from the fourth quarter levels. As we continue to focus on larger health systems to generate adoption and lay the groundwork for new product introduction, I would like to note that we are receiving orders from 65% of healthcare institutions listed in the top 20 of U.S. News & World Report Best Hospital Honor Roll. This supports the foundational use of OVA1Plus and demonstrates the potential to drive standard of care adoption as we expand our health system commercial team. I would now like to hand the call over to Dr. Elena Ratner to provide an update on our momentum to becoming the standard care and driving the awareness of our technology and its impacts on early-stage risk detection of ovarian cancer, particularly in racial and ethnic diverse populations.
Dr. Elena Ratner: Thank you, Kaile. As a physician, education, awareness and adoption is key to changing the standard of care. We have had several milestones in this quarter. The first was a congressional briefing. In the first quarter of 2021, we presented at a congressional briefing; Advancing Health Outcomes for Women and Minorities. We delivered a call to action for OVA1 as the standard of care for ovarian cancer risk assessment for Caucasian and non-Caucasian women and the need for funding large race and ethnicity-based trials. We will be focusing on a continued basis for this type of policy change as we believe the time is now to gain the momentum with Congress. More on this to come. The second milestone, I'm pleased to report is a very successful Zoom dinner presentation that we've done in collaboration with Dr. Sandra Brooks who serves on Aspira's Board of Directors. We conducted an OVA1Plus education session, which was attended by over 130 non-Aspira participants. The audience was mainly OB/GYN providers from across the country. We believe that 130 participants was indicative of a very strong turnout for this type of event. The title of the presentation was Utilization of OVA1Plus to Optimize Ovarian Cancer Risk Assessment, including defining the need for personalized approach to pelvic mass diagnosis. These topics discussed were the need for early detection of ovarian cancer, other options of assessing risk, review for how genetic testing from hereditary risk is impactful and the value of OVA1Plus for optimizing ovarian cancer risk assessments. We also had a focused discussion on racial and ethic differences in the performance of OVA1Plus and CA125. We will be continuing this method of education and communication to a larger degree as well. The third milestone is the addition of a new team member to our medical team to support our awareness movement. Dr. Shieva Ghofrany, a practicing OB/GYN and ovarian cancer survivor, has joined the team and will serve as Head of Global Clinical Implementation. Dr. Ghofrany is a key social media influencer and will assist in driving ovarian cancer and Aspira Women's Health awareness overall. Regarding clinical studies under my leadership, we're continuing to recruit more academic sites to support both the critical validity and utility of our tests. We have also launched our physician-initiated research program for healthcare systems. This program provides nominal funding's for projects that help fuel clinical implementation and adoption of ovarian cancer risk assessment tool and allows us to continue to expand our data repository. I'm incredibly excited about the direction our clinical studies have taken, and we are continuously building our study programs to strengthen the data around our products. And lastly, I would like to report a major update on our [Philippines] study. We are excited to announce we have closed our Philippine study and reached 379 enrolled patients. We will be continuing to serially monitor the patients up to five years to support our oversight longitudinal study. We're actively working on analyzing the data, and we look forward to publishing this data soon. I would now like to hand over the call to Dr. Northrop to provide an update on our innovation pipeline.
Dr. Lesley Northrop: Thank you, Dr. Ratner. I would like to provide an update on our upcoming products and enhancements. Let me reiterate my optimism for ENDOCHECK. As Valerie mentioned, we are having a productive dialogue with the FDA. While we cannot disclose our sensitivity and specificity of the test performance while FDA discussions are ongoing, we are pleased with our data relative to the current standard of care, laparoscopic surgical assessment. We are working on updating our submission to the FDA based on their guidance to meet breakthrough designation showing endometriosis is an irreversible debilitating disease. We have received extensive feedback from the clinical community. There is an unmet need for a nonsurgical blood-based test to confirm the cause of chronic public pain as endometriosis early and help better guide clinical management. Endometriosis is predominantly treated based on symptoms alone and immediate prescription of oral contraceptives where surgical diagnosis is becoming rarer, thereby increasing women's anxiety by delaying a confirmation that their chronic pain is in fact endometriosis. ENDOCHECK will address the patient population of women who are experiencing systemic, moderate to severe pelvic paid and provide confirmation that their symptoms are indicative of endometriosis. The goal of this test is the same for all tests that we are developing an Aspira women's health on pelvic disease detection is to allow for early diagnosis and direct appropriate medical management that potentially reduces the progression of this disease. I would like to now provide updates on oversight. We continue to be on track for our accelerated launch of oversight. The analytical and initial clinical validation of oversight performance metrics will be presented in an ASCO poster presentation on June 4, 2021. The accepted abstract presents data demonstrating the initial clinical and analytical validation of Aspira's oversight blood-based biomarker test for ovarian malignancy risk assessment in all women within adnexal mass. Samples collected from real-world evidence studies with a low prevalence of cancer, less than 5%, were used to validate the algorithm. This third-generation technology, which is a laboratory developed test, will provide clinicians with a high negative predictive value to provide confidence in planning a suspected benign mass monitoring plan as well as a greater positive predictive value to increase confidence in risk of malignancy and next steps on clinical management. This product is expected to be available in Q4 of 2021. The in addition, peer-reviewed publications on both the analytical and clinical validation findings are scheduled for Q3 of 2021. To further support longitudinal studies for the use of OVASight as a [serial] monitoring test for high-risk women predisposed for hereditary ovarian cancer, we recently entered a long-term research collaboration with the Feinstein Institute for Medical Research, the Science Arm of Northwell Health. This collaboration is critical in targeting a rich population of women with known genetic variances associated with ovarian cancer and allows validity data for the development of OvaInherit. At the same time, this collaboration supports a smaller physician-initiated experiment on the use of our current OVA1Plus as ability to screen malignancy risk in women undergoing prophylactic surgery who are also positive for a pathogenic variant and genes associated with a greater than general population risk in developing ovarian cancer. This partnership is now our third academic institution to participate in our clinical studies in addition to Einstein in Philadelphia and Wayne State University and National Cancer Institute Center. Our clinical studies are gaining traction now that we are coming out of the pandemic as one of our sites, Arizona OBGYN Associates was able to recruit greater than 100 patients in less than three months. By bringing on larger academic institutions and clinical practices, we can collect a comprehensive cohort of women across all races and ethnicities to recruit for our clinical studies and continuously optimize our product development pipeline. We continue to develop data metrics with these larger academic institutions through our clinical studies as well already established technologies validated for the detection of ovarian cancer. Combining our high sensitivity performance as reported with OVASight and high specificity with Harvard Dana-Farber Cancer Institute's microRNA technology provides a multi-omics approach that can help eradicate late-stage ovarian cancer. Multi-omics technology will allow us the opportunity to develop the diagnostic and eventually screening technology that we desperately need to increase a woman's survival rate when faced with an earlier diagnosis ovarian cancer. In addition, in March of 2021, the results of an OVA1Plus study were presented as a poster at the Society of Gynecologic Oncology 2021 Annual Meeting on Women's Cancer, SGO meeting. The objective of the study was to determine whether using Overa to perform reflux testing on tough results with a high OVA1 score can improve specificity in detection of malignancy in women within adnexal masses; a testing process we've referred to as OVA1Plus test. These results indicate that the OVA1Plus test did improve specificity in detection of ovarian cancers. With all the products in the pipeline, you will begin to see we are building a lifetime relationship with the patient. This is our OVA360 approach and providing a circular loop of products to better women's health. We are developing products that can start as early as menses, ENDOCHECK and into prenatal planning genetics carrier testing, allow early detection risk of hereditary cancer, genetic hereditary cancer testing, into later life risk of sporadic ovarian cancer detection with OVA1Plus and our new product OVASight and look to the future in developing residual risk assessments when negative following the coupling of OVA1Plus with genetic testing as well as reoccurrence monitoring and eventually therapeutic clinical diagnostic testing. Our scientific team is actively developing these concepts based off our clinical studies to ensure we are always optimizing our current products and validating future products that help manage women's health and wellness. I will now turn it over to Bob for an update on our financials. Bob?
Bob Beechey: Thank you, Dr. Northrop. Product revenue was $1,416,000 for the three months ended March 31, 2021, compared to $1,185,000 for the same period in 2020; an increase of 19%. The number of OVA1Plus tests performed increased 3% during the three months ended March 31, 2021, and compared to 3,654 OVA1Plus tests for the same period in 2020. The test volume was also down slightly on a sequential basis as we experienced disruptions from the February storms. The revenue per OVA1Plus tests performed increased to approximately $375 compared to $325 for the same period in 2020, an increase of 16% and a 3% increase compared to the fourth quarter of 2020 price of $364. This increase was primarily driven by an increase in payments by contracted payers. Gross margin on OVA1 products was 54% in the first quarter compared to 50% in the fourth quarter and 44% in the first quarter of 2020. Our participation in Aspira GenetiX testing, clearly in the early innings, is driven by our conviction that the use of GenetiX testing is a critical factor in the early risk assessment of ovarian cancer. Consequently, a significant portion of our effort is in obtaining research samples, which we do not include in reported [exceptions] or as revenue. Our revenue for GenetiX in the first quarter was $80,000, representing volume of 175 units with an average unit price of $456. This represents a significant position -- percentage growth on a year-on-year and sequential basis, but off a very low base. Significantly, we generated 195 research samples in the first quarter. Total operating expenses comprised of R&D, sales and marketing and administrative costs were $6,488,000 in the first quarter compared to $6,305,000 in the fourth quarter. The increase was driven by increases in R&D expenditures and investments in personnel in the sales and marketing area; slightly offset by lower administrative expenses. We ended the first quarter with $59.4 million in cash. Cash used in operations in the first quarter of 2021 was $5.2 million. Cash utilization in the fourth quarter of 2020 was $4.2 million. The increase was driven primarily by the timing of 2020 bonus payouts as well as new hires and consultants, marketing and promotional activities as well as R&D spending focused on ENDOCHECK. Our February secondary offering closed on February 8, 2021, at a price of $7.50 a share and resulted in net proceeds to the Company of $47.7 million after deducting underwriting discounts and offering expenses. I'll now turn it back -- the call back over to Valerie.
Valerie Palmieri: Thank you, Bob. Before we open up the call for Q&A, let me restate our optimism for building the Company for sustainable growth for the near-term and the long-term. In parallel, we are executing quickly on our larger mission to serve the 20 million women in the U.S., starting with ovarian cancer risk assessment, pelvic mass monitoring and eventually tackling the largest disease; endometriosis. Keep in mind, our hereditary ovarian cancer monitoring test, OvaInherit is incremental to this market, and this product will be for women with and without a mass. Ovarian cancer accounts for more deaths than any other cancer of the female reproductive system and is the only gender specific cancer with greater than a 50% mortality rate. Our work and products are at the forefront of changing the standards of care and detection of ovarian malignancies. We believe we are helping close the gap in detection and, more importantly, survival for women. In the near term, we believe OVA1Plus, coupled with our racial and ethnicities differentiation and genetics will become the standard of care for personalized pelvic mass risk assessment for ovarian cancer. For the longer term, we are also moving forward on our planned launch of our OVASight product for benign mass management, ENDOCHECK for endometriosis, and lastly, OvaInherit for high-risk genetic predisposition monitoring. Our end in mind is the incorporation of proteins, genes and other modalities to detect gynecologic disease, which cannot be detected via traditional biopsy. In time, our goal is to become the liquid biopsy standard for these diseases, inclusive of all ages, stages, and most of all, ethnicities. With our enhanced team, strengthened financial position and a robust portfolio, we could not be more confident across the business. It is now time that all women of every race and ethnicity receive the best possible care, and we are proud and excited to make that happen. We are now happy to open up the call for Q&A and answer any of your questions. Operator?
Operator: Thank you. We'll now be conducting a question-and-answer session. [Operator Instructions] One moment, please, while we poll for questions. Our first question comes from the line of Brian Weinstein with William Blair.
Andrew Brackmann: This is Andrew on for Brian. Valerie, maybe you can start sort of where sort of where you ended your script, sort of around sort of all the pieces that you have in place here right now. You've got sort of the building momentum in the core business. You've got the team sort of now set in place and some nice new hires there. You've got the capital now with the raise and sort of you've got the pipeline behind all of this sort of encompassing all of it. So as we think about all those building blocks here, should we be thinking that sort of 2022 and exiting 2021 is sort of when all this starts coming together in terms of revenue growth? Or is it more sort of back half of 2022?
Valerie Palmieri: no. So Andrew, thanks for the question. And I'll answer in a couple of different parts. We started this new vertical in the hospital systems in terms of hiring the leader in Q4 of 2020. And we have put the team in place. Really, our Q1, I want to say, flat growth was driven by COVID. So we now have a team in place in the hospitals. We are wrapping up the team in Q2, and we will see, I believe, momentum in the back half of the year. Keep in mind, prior to COVID, we had 20 people in the field. We now are going to take that closer to 40 people in the field by the beginning of 2022. And this will line up with our OVASight launch. The OVASight launch in Q4, we really want the entire team lost and loaded and ready to go for OVASight.
Andrew Brackmann: Perfect. That's helpful. Okay. Maybe to pivot here to the Aspira's Synergy agreement announced today. Can you just give us a little bit more detail around that? Is this something that's going to have sort of predefined volume and revenue associated? Or how should we be thinking about contribution here? And then second from that, it sounds like that this is going to be a part of the core strategy. So how should we be thinking about the funnel of additional agreements beyond this?
Valerie Palmieri: Okay. So in terms of -- let me enter that in a couple of different pieces. So in terms of the core strategy, this is something we've been working on, honestly, for about two years, and COVID caused a gap in the strategy as these large super groups were distracted, right? Their P&L's were upside down. Now that they're right-siding themselves, they still have gaps. So Synergy actually brings revenue to the table for them immediately. And this is a customer that we have been discussing -- having discussions with them, as I said, for a few years now, and now we're ready to go. So what is that going to mean in terms of volume? Well, since they are looking at their P&L being upside down, they're incentivized right to bring revenue in those businesses prospectively. So I do believe that there's a huge wind in our sails for them to convert from CA125 to OVA. Keep in mind this business that we did not have in terms of -- we had, I would say, spotty customers that were spending within the practice. But in terms of converting to all 300-plus physicians, they were primarily using CA125. So I do think it's going to -- when the conversion happens, there is a couple of, what I call pre-conversion checks and balances that happen, but we will start seeing volume from this particular partner as early as Q3. And then I see it as it's probably going to take us a couple of months to get it up to full tilt. But because there's an opportunity to really -- that we've got to get the old customers converted. But they are part of that conversion process, right, in terms of the care pathway, in terms of the notification process, the communication process within this healthcare network. So this is something that we firmly believe in. We firmly believe on empowering the doctors locally at point of care. And our win in this is the access to the identified data as well as the margins on this because it becomes a software subscription service.
Andrew Brackmann: Great. A lot of wins associated with that. And then sort of last one for me, really on the pipeline here. First, just a housekeeping one on ENDOCHECK. Anything that you can really tell us around sort of the time line on when we'll get final decision on the fast track there? And then as it relates to OVASight and the serial monitoring product, can you maybe just be a little bit more specific on how you're viewing a successful trial readout for that? And what are some of the key metrics that we should be focused on in order to bring a product like that to market? Thanks for the question.
Valerie Palmieri: No problem. So let me answer that in two parts as well. So with ENDOCHECK, I would say is that with the breakthrough device, the reason it's breakthrough is because there is no predicate, right? So these are discussions with the FDA, where it's really a back and forth on what is this device? How does it make a difference? How does it make a difference in terms of a debilitating disease? So I would say that our initial discussions have gone well, and it's a working process, but we're very -- as Lesley pointed out and I pointed out, we're very optimistic. They've acknowledged the compelling reasons why there's a need. I think there's some education on endometriosis. People don't initially think of it as debilitating. But when you show them the compelling data, it really makes people pause. So right now, we're in a mode of them really giving us feedback. And I would say that in terms of timeline, my sense is we will have feedback within -- I don't want to say it's going to be this year because I can't put a time line on the FDA, but I think this year, we will have feedback from them. And hopefully, it's for the next earnings release. And then Part 2 of your question on OVASight. So OVASight, there's two trials. We have our onetime use trial, which that's the product that's launching Q4 2021, and then we have the monitoring trial. So the onetime use trial will be -- we will have that analysis completed, and that will be launched in Q4 of 2021. If a doctor elects to use this for multiple uses, we have not studied longitudinally this technology. That actual test, the [rev two] of this test will be completed by Q2 of 2022, and then we will be launching the monitoring aspects of this in the back half of 2022. So I hope that gives you enough color to answer your questions.
Operator: Our next question is coming from the line of Kyle Mikson with Cantor Fitzgerald.
Kyle Mikson: Congrats on the nice quarter. So I wanted to start with the commercial expansion. So last quarter, you talked about 38% increase in the sales force, I guess, or like the investment. I believe it's going to start in the second quarter. So is that still the plan? And then if you could also just tell me like how large the sales force is right now? And how many of those reps are kind of focused on just the health system part of that strategy that you kind of implemented more recently? And then how large do you want the rep count to get to towards the end of the year as you exit 2021? Thank.
Valerie Palmieri: So, Kyle, I'm going to start, and then I'm going to get the ball to Kaile. So as you know, we started with 20 reps, and we kind of held tight through COVID. Now that we see things truly opening up, although 24% of our business still has less than 50% access, we do see weekly increases in volume. I can't go into details on Q2. But all I can tell you is that we're seeing this weekly records breaking, and it's a function of really three pillars. One is access in terms of we are getting access. Number two, patients are going to doctors. And then number three, we have this new hospital vertical. So we'll go into the details in terms of where we started and where we're going to be by the end of the year, but we're pretty confident in terms of the momentum we're seeing in Q2 and where we're going to be starting Q3. So I'll toss the ball to Kaile.
Kaile Zagger: Hi, Kyle, nice to speak with you. So I can give you some actuals on the actual statistics of folks that we have. So inside the core sales organization, which is strictly focused on the physician practices right now. We have 16 sales representatives across North America, and we are moving to 28. In the health systems organization, which is comprised of our health care executives with an informatics expertise. We currently have three, by the end of next week we will have five, and we are rapidly moving to 14 with the candidates in the funnel to be able to move to that number. For our Synergy specialty sales force, we currently have two individuals, and we are moving to five. We have most of those candidates also identified. And then we have our integration team, which sits right next to the hospital vertical, and we currently have one head of [state] in place, and we are moving to five folks to include a few HL7 engineers, a system engineer and a technical consultant to assist the health system team in properly integrating.
Kyle Mikson: All right. Wow, that was great detail. Thank you, Kaile, and, Valerie. Thanks so much. And just switching gears to the -- switching gears to the study and the partnerships announced recently. I just wanted to confirm the Dana-Farber bringing women's partnership and the Northwell study, are just -- are they related directly? Or is just -- are they like kind of complementary? I'm just trying to understand if you're trying to have a few shots on goal here or if all of these partnerships are just kind of working towards the same goal, the OvaInherit?
Valerie Palmieri: Yes. So Kyle, really good question, very intuitive. And I'll start, and I'll let Dr. Lesley Northrop also give you some additional context. So OvaInherit is a combination of proteins, which is the basis of that is the OVASight protein panel, seven proteins, plus age. And we are adding to it with the Harvard team, a microRNA panel that we are -- our goal is to get to a 95%, 95% sensitivity and specificity. So with us getting access to additional specimens, Harvard also has a bank of genetically predisposed patients. We actually want to start a prospective study with an enriched population, as you can imagine, in Long Island, due to the Ashkenazi Jewish population, it's a very enriched population. So this is a prospective study, basically looking at the OvaInherit product, the OvaInherit product could include our proteins. It can include the Harvard samples. It also might include, in the future, exosome's and other analyte's as we're doing further research with Baylor as well. Lesley, I'd also like to give you the floor if there's any other color you'd like to give to Kyle.
Dr. Lesley Northrop: Yes. Thank you, Valerie, and it's nice to speak with you, Kyle. So we're really trying to ensure that we have these really comprehensive clinical studies going on across the country to Valerie's point to make sure that we're recruiting patients across multiple cohorts that meets our diagnostic test development for ovarian cancer. And the beauty of the relationship with Northwell is to what Valerie alluded to is that we can really target this enriched population to -- which is our OvaInherit population, right, high-risk women who are germline carriers and then validate the test that we developed with Harvard on these prospectively collected samples. But at the same time, we're also collecting additional biological targets to be able to develop future products, where we're also looking at cell tumor DNA detection as well as other drivers of ovarian cancer because we really want to -- for the future, we really want to start looking at, as I mentioned, potentially reoccurrence monitoring as well as companion diagnostics and therapeutic test development. And so in order to do that, we really need to get these large clinical studies and a large set of samples to be able to clinically validate our tests after we analytically validate them in the lab.
Kyle Mikson: Okay. Thanks, Dr. Northrop and Valerie, that was perfect. And I actually want to stick on the subject, about the pipeline a little bit. So this OvaInherit test is going to use a multi-omics approach, it sounds like. So are you still -- I know it's early still, obviously, but would you still use the cobas system to run those -- to run that test? And then also, I'd love it if you could kind of dive a bit deeper into the residual risk assessment because, obviously, there's a lot of MRD test out there or kind of coming to market? And are you thinking about it kind of the same way? And it could be interesting in ovarian cancer, right? So just -- just high-level thoughts would be awesome to hear. Thank you.
Valerie Palmieri: Thank you, Kyle. So I'll start and let Lesley also fill in. And also Dr. Elena Ratner is on the line too. She may also like to comment. So from a cobas perspective, yes. So we're starting with the key with us is that we're using FDA-cleared kits and the combination of looking at the drivers of the disease and pulling all those proteins together on the protein side, of course, the microRNA technology is not FDA cleared, it's on a -- it will be an LDT platform. So -- but we are going to continue to use the cobas right now. But keep in mind, the analysts that we use, we could actually put on an Abbott system, a Siemens system. So we're not wed to Roche, and we've intentionally done that. We really are ambidextrous. So the opportunity is, let's just say, way down the road is how can we put this on a platform that this goes global and it really -- than we make a uniform platform. But right now, we're staying ambidextrous with the cobas. I'll let Lesley comment on some other technology as well.
Dr. Lesley Northrop: Yes. Thank you, Valerie. So since we already have the system up and validated on our proteins, as Valerie alluded to as well that these are FDA validated assays. We can easily implement this technology really quickly. But we are looking to bring in a more simplified higher throughput system where you can actually run the proteins and the microRNA on the same system and use the same sample. So what this allows us to do is we can really put in low throughput amounts of blood and be able to quantify both proteins and microRNA on the exact same platform at a very low COG. And this would give us a more high throughput operation. So that's also something that we're developing on the backend as well as to make sure that we can scale appropriately using this more high throughput system. And then as far as the residual risk question. This is actually a really fascinating area that we're focused on as a scientific and clinical team. And that I think one of the areas that you'd be familiar with is Myriad has their myRisk based test for breast cancer. And so we're looking to utilize polygenic risk scores assessment and the same approach for ovarian cancer. And now that Kaile and our sales team is out there selling coupled OVA1Plus with our GenetiX, our germline testing, we're going to have an enriched cohort of samples from our commercial testing. We actually have three sites that are actually doing what's called a clinical implementation study, where we can get the data from these patients. And then what we can do is if you were present with the mass and your OVA1Plus was a low-risk and you also were negative for a germline variant, we could then run a reflex--we could then run a reflex test on the patient -- I'm really -- on the patients and see what the residual risk would be if it's anything greater than the general population for these enrich [snips] that are known to be associated from a polygenic risk score assessment for ovarian cancer.
Operator: Our next question is from the line of Sandy Draper with Truist Securities.
Sandy Draper: A lot of the science and product questions have been have been asked. So I'm not sure if these are more for Bob or maybe Valerie if you want to chime in, so mine are going to be a little bit more financial oriented right now. First, can you just remind me with the health network, you mentioned it's a more of a recurring service type of model. Is that a fixed amount where you're just going to get paid? Does it scale up with volumes? Just trying to get some sense of how to think about the revenue impact to that? And then is it seasonal? Is it like testing? Just trying to think about it or is it truly a recurring license model where they just pay X amount of dollars a month.
Bob Beechey: No, Sandy, this is Bob, and thank you for the question. It is volume-driven. It is a per click business model. So there would be no more seasonality. I think the only issue we're looking at is how quickly we can ramp up as there's implementation things to be put in place. So the way to think about it, though, is that it's basically a per click license fee. We do have cost to deliver, but it's not really variable in the sense of the client will source their own, in coordination with us, in terms of appropriately making sure it's QA in terms of lots and things of that nature, working with the supplier, but they'll source their own reagents as well as the blood tests. So there won't be logistical costs when they do it in their facility. There will be a transition period in terms of send outs. We have to work out reimbursement and coordinate with them as well, but they will be billing the tests, and we will get a license fee per click.
Sandy Draper: Great. And so is it -- I would assume then that, that should come at a notably higher-margin to you than what -- certainly, what you're seeing right now just on standard test volume?
Bob Beechey: That's clear. Yes.
Sandy Draper: Yes. Okay. Great. Second question on margins. You talked about, Bob, I think you said 54% gross margins on the OVA product, 50% last quarter, 44%. Should we think about that? Well, one, just the volumes were flattish, are actually down slightly, but your margins went up. So maybe some color on what drove that, but should we think about cadence? And then is the difference between that 54% this quarter and the 40% reported gross margin, is that really on the GenetiX, or is that something else that's going in the cost of goods?
Bob Beechey: That is definitely the GenetiX, which is the blended number. We like to keep an eye on the specific matter in terms of OVA margins. I think the way you should think about margins as well is clearly, we are not at scale. I mean, we've got plenty of capacity and our marginal cost in terms of labor is relatively small. Our cobas could handled multiples of the current volume we're doing right now. So our variable cost clearly depends on our blood draw arrangement, and there's some degree of variability on that, but reagent efficiency gets better. So we anticipate our margins as our volumes ramp second half of the year and into next year going up considerably. Clearly, the year-on-year margin uplift was very much volume-driven. And then, well, we had flat margins. There's probably just some noise in there relative to last year. As we transitioned, I think we try and be as true as we can in terms of segregating costs for genetics and the OVA portfolio, but it was really just more efficiency. It was a relatively smooth quarter. So there is no one-off item that gave rise to it in the prior quarter.
Sandy Draper: Got it. Okay. That's helpful. And then my final question, can you just remind me on OVASight, which I know the target launch end of this year, fourth quarter of this year, where exactly are in terms of reimbursement and how we should be thinking about reimbursement and just getting paid for the volume and what you think the longer-term reimbursement levels are going to be for that product?
Bob Beechey: Valerie, do you want to handle that one?
Valerie Palmieri: I will. I will. Thank you for the question, Sandy. So let me kind of walk through it. So OVASight will be a seven-test analyte based algorithm. So there are seven tests, there's seven components of it. Keep in mind, if you look at the backbone of OVA1 and Overa, Overa was actually created from a crosswalk of OVA1. OVA1 was created from a crosswalk to the OPKO 4 Score test, which is for prostate cancer. So this test will be crosswalked back to Overa with the seven proteins. Where that -- what's the timing on that? So that's getting an AMA code, which is now called the PLA code and going through the process. We will probably be launching with an unspecified code, which, again, through this, I call, making the test available prior to the monitoring test being available. And -- but then we're working through with the AMA to get to the PLA code. But it takes us launching the test, getting the clinical utility, getting the publications in place, but the plan would be a crosswalk back to Overa. And you will see, of course, pricing appreciate over time.
Operator: Thank you. At this time, I'll turn the floor back to Valerie Palmieri for closing remarks.
Valerie Palmieri: Thank you, Rob. In closing, as we see progress in COVID vaccination rates and believe the restrictions will subside, we are focusing on doing the right things to drive sustainability and growth. With our commercial footprint, our strengthened balance sheet, a guideline endorsed and differentiated test, plus a differentiated portfolio of tests within the same call point, and now 54% of the lives covered in the U.S., we believe we are in a position to support continued growth and profitability. Our end goal is to serve a large global pelvic mass population and overall women's health market with a platform coupled with proprietary science and data tools, which will drive better health and well-being to each and every patient we serve. Thank you for joining us today, and we appreciate your support and interest in Aspira Women's Health.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.